Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Nature's Sunshine's financial results for the third quarter ended September 30, 2025. Joining us today are Nature Sunshine CEO, Ken Romanzi; CFO, Shane Jones; and General Counsel, Nate Brower. Following their remarks, we'll open the call for analyst questions. Before we go further, I would like to turn the call over to Mr. Brower as he reads the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Nate, please go ahead.
Nathan Brower: Thank you, Sergio. Good afternoon, and thanks for joining our conference call to discuss our third quarter 2025 financial results. I'd like to remind everyone that this call is available for replay by telephonic dial-in through November 20 and a live webcast that will be posted in the Investor Relations portion of our website at ir.naturesunshine.com. The information on this call contains forward-looking statements. These statements are often characterized by terms such as believe, hope, may, anticipate, expect, will and other similar expressions. Forward-looking statements are not guarantees of future performance, and the actual results may be materially different from the results implied by forward-looking statements. Factors that could cause results to differ materially from those implied herein include, but are not limited to, those factors disclosed in the company's annual report on Form 10-K under the caption Risk Factors and other reports filed with the Securities and Exchange Commission. The information on this call speaks only as of today's date, and the company disclaims any duty to update the information provided herein. Now I would like to turn the call over to our recently appointed CEO of Nature's Sunshine, Ken Romanzi, Ken?
Kenneth Romanzi: Thank you, Nate, and good afternoon, everyone. Thank you for joining our third quarter earnings call. Before I turn the call over to Shane to discuss our strong third quarter performance, I'd like to quickly introduce myself and share how excited and grateful I am to be the CEO of Nature's Sunshine. I joined just over a week ago, and I am absolutely honored to lead this iconic brand into its next chapter of growth. Throughout my career, I've had the privilege of leading organization transformations and driving growth of beloved iconic brands, many in your kitchens at home at both public and private companies across the consumer packaged goods industry, including B&G Foods, Nabisco, now part of Mondelez, Hasbro, Ocean Spray, Cranberries, Cadbury Schweppes and Frito Lay, just to name a few. At each stage of my career, one thing has always been true, strong brands with great products and a clear mission, create lasting value for customers, employees and shareholders. That is exactly what Nature's Sunshine. The company possesses a strong legacy of foundation of trusted products, passionate consultants and practitioners, a deep-rooted commitment to improving lives through natural health. As someone who is dedicated to health and wellness myself, I see tremendous potential to build on this foundation and accelerate growth globally. In my very short time here, I've met with our teams, listened to field leaders and employees and immersed myself in our business. And it's very evident that we have a mission-driven organization and a unique opportunity to strengthen our brand, leverage our vast direct sales network of amazing consultant entrepreneurs. Expand our digital and direct-to-consumer capabilities and deliver even greater value to our customers and shareholders. I'd like to thank my predecessor, Terrence Moorehead for his leadership and the strong platform that he and the Nature's Sunshine team have built. And I'm excited to lead the business through its next phase of growth, powered by our iconic brand our operational excellence and continued innovation in natural health and wellness. I look forward to meeting our various stakeholders over the coming months and addressing our shareholders more formally on our fourth quarter earnings call. Now I'd like to turn it over to the real highlight of the show today, our CFO, Shane Jones to provide details of our strong operational and financial performance in the third quarter. Shane?
Shane Jones: Thank you, Ken. I'd like to start by saying that I'm very happy to be working with Ken. He combines a wealth of knowledge and experience with outstanding values and leadership. He is the right person to take Nature's Sunshine to the next level and I am more confident than ever in our future. We're pleased to report our best quarter ever. As the strategic investments we've made over the past 2 years, combined with strong execution and hard work are yielding meaningful improvements across North America, Asia and Europe. We're seeing a strong surge in new customers, better engagement from current customers and improved activity with our distributors. Our efforts to modernize the business, expand digital capabilities and strengthen field engagement are translating into tangible growth across our key regions. The combination of these initiatives, along with disciplined cost management positions us very well for continued profitable expansion despite the macroeconomic and trade headwinds that persist in many of our markets. Now diving into specific financial performance. Net sales in the third quarter were $128.3 million, a quarterly record compared to $114.6 million in the year ago quarter. This represents a 12% increase versus the prior year or an 11% increase, excluding the impact of foreign exchange rates. Growth was driven by acceleration across Asia Pacific, North America and Europe. These results reinforce the traction we're seeing from our transformation initiatives and the strength of our product portfolio manufactured in-house with the very highest quality ingredients and our passionate and knowledgeable distributors, combined with our 50-plus year heritage and global brand. Looking at our results in more detail, starting with regional performance. In North America, we continue to see improved momentum as digital accelerates, while maintaining our core business of specialty retailers, practitioners, affiliates and business builders. Q3 sales grew 7% year-over-year to $36.2 million. We're particularly excited about the strength in our digital business, where year-over-year growth accelerated to 52% in Q3. Our work to move to an improved platform, leverage digital tools optimize our digital marketing, enhance customer experience and increased lifetime value is paying off. Meaningful acceleration in new customers, combined with improved retention and frequency, have been key to the strength. As an example, the number of new digital customers making a purchase in Q3 more than doubled versus prior year. We're also pleased by the growth in our subscription auto ship program, which now represents more than half of DTC ordering accounts. Just as a reminder, our auto ship programs are a win-win for consumers and the company. They provide the strongest value proposition to the consumer, while improving consistent use to ensure the best results for better health. In addition, they drive improved frequency and retention with a predictable recurring revenue stream for our products. Finally, we are also making progress with the efficiency of our digital marketing spend, resulting in meaningful improvements in customer acquisition cost and enhanced return on ad spend. The combination of these fundamentals validates the strategic investments we are making and strengthens our confidence in our ability to meet and exceed the goals we have set. As we've said many times, Digital momentum is a key component of our broader transformation and represents an important long-term growth lever for our business. As digital continues to see robust growth, we expect continued strong growth in North America during Q4 and mid-single-digit growth in 2026. Asia Pacific delivered 17% year-over-year net sales growth to $64.7 million or 15% growth on a constant currency basis. Growth was driven by strong performance in Japan, China and Korea where sales increased 32%, 36% and 12%, respectively, excluding the impact of foreign exchange. In each of these markets, our efforts to introduce more consumer-friendly products, enhance our subscription auto ship programs and strengthen field activation have been key contributors to the improved momentum. The more consumer-friendly product bundles introduced last year in APAC continue to have strong appeal from both our customers and distributors, leading to increased acquisition along with better repeat. Likewise, our autoship program continues to benefit consumers while driving predictable recurring sales growth. In Japan, autoship now accounts for approximately 50% of the sales in that market. China launched an autoship program earlier this year, and we are seeing a strong response as that program already accounts for 12% of sales and has helped to reaccelerate growth in that market. Finally, our field activation initiatives were particularly effective in Q3 driving exceptional results and likely accelerating some sales originally expected in the fourth quarter. Given the very difficult Q4 comparable, remember that APAC grew 21% in constant currency terms last Q4 combined with the fact that approximately $2 million of revenue was likely accelerated from Q4 to Q3 this year. APAC growth is likely to be flat to down slightly in Q4 2025. We are very pleased with the progress being made in APAC and expect continued mid-single-digit growth from this region in the coming year, but acknowledge the inherent lumpiness of sales due to the nature of our field activation efforts. Europe also continues to perform well, with Q3 sales up 13% versus the prior year to $22.1 million or 10% on a constant currency basis. This growth was driven by 10% growth in Central Europe and 14% growth in Eastern Europe, both in local currency terms. In Central Europe, our expansion into the Baltics continues to progress very well. Supported by steady demand for our power line products. We're encouraged by our team's ability to drive growth while successfully broadening our regional footprint. The growth in Eastern Europe has been fueled by improved product availability, combined with outstanding execution from our distribution partners. This growth is remarkable given the current instability in that region and is a testament to the perseverance of our staff in that area. For Q4 and 2026, we expect continued growth from both of these markets with Europe as a whole growing mid-single digits. Turning to gross margin. We continue to build on the progress we've made over the past several quarters as gross margin increased 200 basis points to 73.3% compared to 71.3% a year ago. This improvement represents our highest gross margin in 15 quarters and reflects the benefit of our ongoing gross margin initiatives and favorable market mix. We've been talking about these margin improvement efforts for some time. These initiatives include renegotiating logistics contracts better conversion costs through improved manufacturing efficiency, improve sourcing, more disciplined pricing and other cost-saving measures. We are proud of our team's continued efforts to streamline our supply chain. I'm pleased to see the benefit reflected in our results. As we look forward, despite our efforts to avoid and delay the impact of tariffs, we do anticipate a small impact on gross margin. Therefore, gross margins are likely to settle into the upper 72% range next quarter and into next year, which represents a significant step up from where we've been historically. Volume incentives as a percentage of net sales were 30.7% compared to 31% in the year ago quarter. The decrease was primarily due to the strong growth in our digital business as well as changes in market mix. Selling, general and administrative expenses during the third quarter were $45.7 million compared to $41 million in the year ago quarter. As a percentage of net sales, SG&A expenses were 35.6% for the third quarter compared to 35.7% a year ago. The $4.7 million increase versus prior year was primarily related to digital ad spend, other variable costs associated with the sales increase and nonrecurring expenses. The decision to increase digital ad spend during Q3 was based upon the opportunity for very strong customer acquisition at a favorable customer acquisition cost. Similar to what occurred in Q3, we will continue to make additional investments in digital advertising when we can achieve an outstanding return on that investment. In Q4, we expect SG&A of $46 million to $47 million which includes $1 million to $2 million of nonrecurring expenses. Operating income increased to $9 million or 7% of net sales compared to $5.3 million or 4.6% of net sales in the year ago quarter. GAAP net income attributable to common shareholders for the third quarter was $5.3 million or $0.30 per diluted common share compared to net income of $4.3 million or $0.23 per diluted common share in the year ago quarter. Adjusted EBITDA, as defined in our earnings release, eclipsed our previous record increasing 42% to $15.2 million compared to $10.7 million in the year ago quarter. The increase was primarily driven by the increase in net sales and improvement in gross margin. Our balance sheet remains clean with cash and cash equivalents of $95.6 million and 0 debt. Inventory decreased to $67.3 million at the end of the third quarter, a $2 million decrease versus Q2 driven by the very strong demand in Q3. We expect to rebuild that inventory during Q4 to ensure appropriate in-stock levels and fulfill continued strong demand in Q4. Net cash provided by operating activities was $25.4 million compared to $13.1 million in the prior year period. We repurchased 1.1 million shares for approximately $14.4 million during the 9 months ended September 30, 2025, with $19.3 million remaining on our share repurchase program. Looking beyond share repurchases, our healthy capital allocation structure positions us well to continue our digital transformation and other strategic initiatives. Now turning to our 2025 outlook. Based on our strong Q3 results and the improved momentum in the business, we are raising our guidance for 2025. We now expect full year 2025 net sales to range between $476 million and $480 million compared to previous guidance of $460 million to $475 million. This new range equates to year-over-year growth of 5% to 6%. For adjusted EBITDA, we are now guiding to a range of $47 million to $49 million, versus the prior range of $41 million to $45 million. This new range equates to year-over-year growth between 16% and 21%. This implies Q4 guidance of $119.7 million to $123.7 million of revenue and EBITDA between $9.6 million and $11.6 million. As a reminder, the fourth quarter of last year represented the largest single quarter in our company's history at that point, driven by very strong performance across Asia Pacific and Europe, which naturally creates tougher year-over-year comparisons. Overall, we continue to believe the business is well positioned to capitalize on current market opportunities and remain very optimistic about our future growth prospects. The strategic initiatives we've been implementing are working and we're confident in our ability to continue to accelerate growth in sales, profitability and free cash flow. Now I will turn the time back to the operator.
Operator: [Operator Instructions] Your first question comes from Brian Holland from D.A. Davidson.
Brian Holland: Can you hear me now?
Kenneth Romanzi: Hi Brian.
Brian Holland: So I'll start again. I apologize. First of all, welcome and congratulations, Ken, look forward to working with you. And then just digging into the quarter here, Shane, maybe to start naturally in the North America segment, particularly in light of the ongoing inflection in the digital business. Maybe just kind of -- maybe a multipart question here. But one, where are we seeing particular success as far as reaching the consumer, which channels within digital, how is that informing investment? And then mindful of the particularly compelling combination of new customer acquisition and retention which doesn't usually happen, usually trade one-off for the other, right, from a growth perspective, especially when one is that magnitude. How do we think about the right level of investment going for leading into this momentum and kind of peaking into 2026.
Shane Jones: Yes. That's a great question, Brian. So first of all, we're really pleased with what we're seeing in our digital channel. And it's really across multiple areas. Our Amazon business is doing very well. Our DTC business is doing well and our social commerce business is also doing very well. So very encouraged by what we're seeing is the most encouraging is we've seen an opportunity to really invest in digital advertising at a much lower CAC, customer acquisition costs than what we've seen in the past and which is driving a lot of new customers, which is obviously a good thing for the business now and go forward. So we will continue to invest as long as our return on ad spend and our CAC continue to be at advantageous rates.
Brian Holland: Appreciate it. Good color. Maybe just quickly this is...
Shane Jones: Actually, sorry, I think Ken had something on to add.
Kenneth Romanzi: I'm sorry to interrupt, but I just wanted to add, just in my learning curve in the last week, I've heard a few amazing things, number one, TikTok has become a really great social commerce at avenue for us. I had not even realized there was a store competing with Amazon on TikTok, I am not a personal user, but that has been tremendous success over the last quarter. And we have a tremendous opportunity for more autoship. I love the autoship program. It's working well around the world. And in the U.S., if people's first experience and purchase for us is combined with an autoship the repeat, obviously and the coming back nature of that customer is far greater than someone who just buys product wants and doesn't sign up for autoship. So autoship is the gift that keeps on giving. And if we can get people into that early, it just creates much more retention and, of course, drives a lot of the great numbers that Shane was describing.
Brian Holland: I appreciate the color, Ken, and Shane as well. Maybe moving over to APAC, there are obviously certain markets where the momentum has been in place Japan, et cetera. China was, I think, a positive surprise here. So maybe just mindful of you guys have spent a fair amount of time talking about the challenging macro backdrop and how that was flowing through in the business. So that seems to me to be the biggest source of surprise here relative to what I was thinking even just conceptually going into the quarter. So would be great to kind of double-click there on how that business is kind of flipping.
Shane Jones: Yes, we're very pleased with what we saw in Q3 and what we continue to see from China in that a lot of the trends that we had talked about 6 months ago are getting much, much better now. If we look at really what's driving that, there are a number of factors, but the biggest factor goes back to that auto ship program that Ken was talking about as well. We didn't have an auto ship program in China until earlier this year. So we implemented a subscription autoship program there, similar to what we have in other markets already around the world. And already, it accounts for over 12% of total sales and is a big part of what's really driven around the economics and the fundamentals there to get that business running again. And once you've got the momentum going there, that actually helps feed the rest of the business as well.
Brian Holland: And maybe just a quick follow-up on China from your perspective. Is the underlying macro backdrop as it pertains to your core consumer, has there been any improvement there? Or is this really just about execution and self-help on your end and the backdrop really hasn't changed that much.
Shane Jones: So the macroeconomic environment there, we've seen it stabilize. So I wouldn't say that it's gotten a lot better, but it hasn't gotten worse either. And just getting the stabilization there has helped us then to do some of the fundamental changes that we need to do to be able to reaccelerate that market.
Brian Holland: Great. And I'll be mindful of time here. So maybe 1 for Ken, and I'll hop back in the queue. But Ken maybe just, obviously, we saw in the press release in your introductory remarks today. So a sense of the overlap here from a consumer-facing standpoint with some of the brands that you've dealt with before. Maybe just a little bit more I would love to understand as you think about the skills that you've developed over your career and applying it here at Nature's obviously, the business is performing quite well year-to-date. Where do you see yourself spending a disproportionate time here in the first 100 or so days? And where do you see particular opportunity to apply your expertise to the infrastructure here to maybe either improve or enhance what's in place.
Kenneth Romanzi: I can't wait to see you one-on-one, because I can take a long time answering that question. I will try to -- in the spirit of time, I will try to be as brief as possible and condensed 43 years into a few minutes. So number one, my first 100 days is just learning the business, learn the [peaceful], learn the people, the organization, and most of all, get out with leaders. I had my first meeting with a leader last night. It was so inspiring a long-term practitioner in North America. It was a fascinating meeting, I have pages of notes just from a 90-minute discussion with him. So learn the business and get out there and be with our frontline leaders. And my particular inspiration about this company is great brand, great products, great -- we're on a macro trend -- megatrend of with the wind in our sales. I've spent a lot of time trying to sell things against the wind, but the wind is in our sales on health and wellness and people looking for natural health and wellness cures, both the young and old. It is a trend that's been around for a long time and will continue for a long time. So that's what excites me about this. To me, we have hundreds -- to me, I look at this company, and we have hundreds of thousands of salespeople in our company. That's the way I see our consultants and practitioners and partners. When I started my career, I was a company called Frito-Lay, we used to brag that we had 10,000 route salesman delivering to 300,000 retail accounts a day in the U.S. And we used to brag we had 10,000. I have hundreds of thousands of salespeople. When I ran sales and distribution in Nabisco, I had 5,000 salespeople. We felt like we were like -- and we were some of the best food distribution companies in the world. We have hundreds of thousands of frontline salespeople. So I worked in the soft drink business, where I partnered as a franchise owner we were the franchise ores of soft drink brands, and we went through independently owned bottlers, soft drink bottlers, who do the bottling and the sales and distribution of our products. So it may not be obvious to people, but that system is no different from this system. I have a brand I do the marketing. I do the product development and the innovation and the thought leadership. And then I have to actually sell that syrup to a soft drink bottler who's an independent entrepreneur, many times third, fourth and fifth generation entrepreneur and has hundreds of millions of dollars invested in their system, running route -- manufacturing operations and route trucks. I see no difference in selling through that mechanism than selling through this mechanism. I had a sales force that they did, but they weren't employees, but we had a lead and motivate and influence them to build their business and our business mutually. I see that as a wonderful tangential experience that I can apply here. I grew up in marketing. So I'm a consumer marketer, that's the way I step out of bed every morning. But since 1993, I've been a general manager. So what can I bring? I mean, organizational leadership. I mean, we don't do anything without great people, and we have unbelievable people here. The passion and enthusiasm and dedication to our employees is amazing. So we have a lot to build on from there. And then just business management, running a P&L and a balance sheet, I've been doing that for decades. But really motivating our people and focusing everybody on the highest leverage points to accelerate growth in our business, and then motivating hundreds of thousands of leaders around the world, which our team does well, but I just met with our head in North America earlier today, and I said, start booking me with customers. So I will be with leaders in Southern California 2 weeks from now. I will be throughout 5 different countries in Asia in December. And then our Head of Europe already has me planned for January, February and March in various markets there. So I hope that starts to answer your question, and I appreciate it.
Operator: Your next question comes from Susan Anderson from Canaccord Genuity.
Unknown Analyst: Alec Legg on for Susan. Welcome, Ken. We're definitely excited to work for you. We can hear the passion already coming through.
Kenneth Romanzi: Thank you.
Unknown Analyst: Question on for third quarter, I mean, obviously, there was a big step change in growth going from low single digits to low double digits. I guess was there any 1 key factor or something that came together? Or was it just the strategy that you've been executing everything is coming together in the quarter?
Shane Jones: It really is the combination of all the work that we've done over the last couple of years coming to fruition and really starting to fire on all engines. So we had very, very robust growth, as you see in digital, which was a key part of that. In addition to that, we had very, very good growth in APAC and some of APAC is timing based. So because of our field initiatives and the way the timing of what that was this year, it pushed some of the revenue that we would have normally seen in Q4 into Q3. So there's about a $2 million slide in timing there. But then also just really, really robust growth and good things happening in Europe, both in Eastern and in Central Europe. And then all of that combined with strong gross margin, good cost containment as well. So I think it's largely just the work that we are doing, it's great to actually see the strong momentum and those actions coming to fruition combined with just a little bit of timing.
Unknown Analyst: And then I saw there was a new power line launch not too long ago. Is that a global rollout or just in North America? Or is that also included in the Baltic region where that line is fairly popular?
Shane Jones: Right. So we will be phasing when the timing on that, but it will go to multiple markets. We'll start in the U.S. and then move to other markets as well.
Unknown Analyst: And then my last question. On SG&A, a little bit of a step up there. It looks like on a pretty good return on ad spend. Is that a new level that we should think of SG&A going forward? Or is that pretty flexible just depending on the market?
Shane Jones: Yes. So a little bit going back to the question of the previous person, as we see strong opportunities to be able to invest and get a very strong return on digital ad spend. We will continue to make those investments. And right now, we see those opportunities. So we've guided our SG&A for the next quarter to be in that $46 million to $47 million range with $1 million to $2 million of nonrecurring. I think that's the right amount to think about for the short term, but we will continue to respond as we have good opportunities that make sense. As I said, we will -- as we have good returns, we will feed those returns.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Romanzi for closing remarks.
Kenneth Romanzi: Thank you very much. So as I said earlier, I'm just delighted to be leading major Sunshine feel so privileged. And after hearing and learning about and hearing our third quarter results, which are -- which I have no association with, right? I didn't do anything to drive those results. But hearing those results and learning what Shane said about what drove all those results, the business is working on all cylinders. We have issues to address, but you saw a quarter where the strategies are working and the management team and leadership team is really delivering. So it just makes me so much more excited about the potential of the business, even more so than I was just a few days ago. So I just want to thank everyone for listening and joining with us today and really look forward to speaking with you when we get together to report our fourth quarter 2025 results. And I'm new, so I'll have much more to say on that call about kind of where we think we're taking it in the future. But there'll be a lot of the same of what's working now. I don't feel like I have to overturn the whole ship. So I just feel very fortunate to be joining such a strong team with great results and a great strategy in place. So with that, we wish you again, thanks for joining us, and wish you a good night.
Operator: Ladies and gentlemen, these concludes today's conference call. You may disconnect your lines at this time. Thank you all for your participation.